Sergio Gamez: Good morning, everyone and thanks for joining to this Full Year 2016 Earnings Presentation Conference Call. So we have today, the opening will be given by out Executive Chairman, Ms. Ana Botin, who will address a delivery on our 2016 commitments as well as the progress we are making with regards to the strategic priorities. Then our Group CEO, Mr. Alvarez, will address the group business areas review for the full year and our Executive Chairman will go through with our this year 2017 strategic priorities as well as concluding remarks. Obviously we have plenty of time to take your questions live. So with no further delays, Ms. Ana Botin. Thank you.
Ana Botin: So, good morning, welcome to our results presentation for 2016. I will first update you on our progress towards our 2016 commitments and strategic priorities. Jose Antonio will then cover in more detail our evolution during the year. And to conclude, I will briefly review what our strategic priorities and goals are for 2017 before we pass on to questions. So first of all, we have delivered strong results in the challenging environment. In 2016, we have been able to offset a lot of the unexpected adverse conditions from Brexit to lower than anticipated rates, higher taxes and some others. We have delivered an increase in net profit of 4% with a very strong underlying profit before tax in constant euros of 12%. We have also and we are proposing to increase dividend per share and cash dividend per share, growing earnings per share and growing tangible per share again by €0.15 to €422. We have delivered ahead of plan on our fully loaded CET1 at 10.55. Our customer revenues are up by 4%. Our loans are up by 2% and funds up by 5% all in constant euros. Looking at the P&L, you can see here the performance along all the lines again showing good evolution of retail and commercial banking business activities. If you look at total customer revenues growth, I am particularly proud of the increase in our fee income at 8% close again to the double-digit growth as a result of our loyalty strategy. Prudent risk policies have also been reflected in the reduction of the provisioning charge. And as you can see, all these trends are increasingly positive as is evident in the performance in the fourth quarter. You can see here, our focus for the last couple of years is impression growth in all our metrics. I already described all these performance in tangible net asset value, cash dividend per share, earnings per share and also on the CET1 ahead of target. These result in 2016 both a consequence and enabler of our prudent financial management and risk policies, you can see here that most of our assets are loans to our customers and there are main funding sources, a customer retail deposits followed by medium and long term funding instruments. Our prudent risk policies also show an improvement in our credit quality indicators with a cost of risk improved by 7 basis points and our NPL ratio down by 43 basis points to below 4 at 3.93. I’d like to spend a minute just saying why I and the team fell confident about the future. This is based on the strength of the Santander starting point our business model on three important factors. First is that we have critical mass in retail and commercial banking in our ten co-markets with a 125 million customers in countries and areas with a billion people, we are not in multiple lines of business or 50 countries. We have the scale to be competitive and profitable. Second very important, we have unique geographical diversification in Europe and the Americas. This is one of the key points for us, the predictability and sustainability of our earnings which has been evident in the past and will continue, we are confident into the future. Of course this is important because it leads to and should leads to lower capital requirements or lower cost of equity. And third and very important, our autonomous subsidiary model allows us to be more resilient. It also allows us to be local and close to our communities and our customers and we are also getting better every day at working together and collaboration across country. And here in this enhanced collaboration, which I would share some examples in a minutes, lies our greatest opportunity. As I said, this 125 million customers that’s 4 million total customers more than a year ago are a great opportunity. And the size of this opportunity is evident when we look at the number of loyal customers, we have met, actually we are ahead of our targets, we now have 15.2 million, up 10%. There is a direct correlation between this and the increasing revenues growing at 8% double last year. And of course this is because a loyal customer is four times more profitable than an active one. And this continues to be our strategy for the future. Getting better a digital is of course key to improve loyalty and we are now at 20.9, almost 21 million digital customers. But it’s - what it’s more important is that this loyalty strategy is still as you can see something which we can work on from for many years organically. So to keep improving our profitability, we will keep our focus on growing loyalty and the way to do that is through what we call operational excellence. That is achieving at the same time better customer experience and doing so efficiently, the best service at competitive prices. Our 48% cost income is best-in-class, second best among our peer group and this is what will allows us to deliver for all stakeholders. Just as a reminder, in 2016, we went through a corporate restructuring at headquarters and at also in Spain which means that the corporate center cost are now only at 2% of our total cost. Very importantly in customer satisfaction, we are ahead of plan. We now have three more geographies among the top three local banks, so eight out of our ten co-markets are already in that category. The second pillar I mentioned is of course our geographic diversification, roughly 50% in Europe and 50% in the Americas, also roughly 50% developing higher growth markets and developed markets. This is absolutely key to deliver strong and predictable and growth in profits overtime. We have the lowest earnings volatility over - since 1999 measured in terms of quarterly earnings per share reported of all our peers. And it is an essential attribute of the Santander investment case. This model together and let me stress this with a very strong focus on execution, which is not easy, but we are delivering on that. All of our commercial transformation plans means we have delivered in 2016 top tier profitability 11% underlying return on tangible equity. And this profitability allows us to deliver on three things. First, we continue to lend more to our customers, so we are growing our lending. Second, we are paying increasing cash dividend per share, up by 8% and of course we are accumulating capital organically in 2016 €3 billion or 50 basis points. I have shown you the diversification has been key to deliver to this key - this - sorry, strong and predictable results and growing profits but in itself diversification is not enough. What we need also is that overtime, all business deliver superior profitability. You can see in this slide that we are delivering returns on equity at or above our cost of equity in each of our ten co-markets, which represent 97% of profit except in one and of course it’s not as a geography the U.S. has different businesses. And in our Santander consumer, business in the U.S. we are delivering 18% return on tangible equity, 15% ROE. We have de-risked the business. This is the main reason why profits are down. And we are making progress also in Santander Bank, which is the one business where we are not the cost of equity. And so I’d like to spend a few minutes on the U.S. So as we said since we are in charge and since the change of management, we want to focus on essentially one thing as a top priority in the U.S. which is becoming regulatory compliant. This also means upgrading the way we manage to the Santander Group standards. And in 2016, we have delivered on this. The U.S. team has done a great job. It’s been recognized by our regulatory in their press conference in June. But it’s important that we’ve also progress in Santander Bank in improving the business. You can see here that the funding gap, we had higher - much higher funding cost in our peers has improved by 20 basis points at Santander Bank to only a gap of 27. The underlying cost income, there is still a lot of work to do but has improved 10 basis points. And we have more transactional customers in the Bank. So there is some green shoots as we say and we of course expect to do better in the future. A lot of work to be done but we are getting there. I also would like to share briefly how we see our strategy in the U.S. In terms of meeting regulatory expectations, as I said on the Bank, the strategy is to simplify the business, increase profitability and customer experience and very importantly increase the connectivity between our customers, SMEs, especially and other Santander Group companies. And our goals for the business in the U.S. going forward is to increase close to 30% by 2018 our profits in the Bank. In Santander Consumer, we are working hard on governance and control issues as we now are obviously going to manage that asset bank as far the bank holding company and we are making progress and also working on the Chrysler relationship. Our goal is to achieve 10% return on equity by 2018 for the business as a whole. So the third key business model pillar for us is connectivity. So the subsidiary model is crucially important, allows us to be local, close to customers but we have - we already do this but we have much more to do to work better together. The subsidiary model prevents contingent risk, makes us stronger and local. Collaboration means opportunities where because of our scale in ten markets, as I said it’s a reality but it’s also a great opportunity. This is an example, the Argentina, Brazil trade corridor has allowed to achieve this year close to 50% increase in revenues during 2016. We are now working on other trade corridors for example the U.K., Spain has plans where again in 2017 by working better together we will generate 85 million additional revenues. And of course being part of a large group with a technology now available to us means there is many projects we can do better together. This is only the beginning. The Santander E-Wallet, we are working together across our ten countries. Brazil and Spain have already launched this. Mexico and other countries will come next. And we will be doing this at a fraction of a cost and with better user experience than if we did this on a one by one on a country basis. We have made great progress, as we’ve seen towards becoming the best bank for our customers and our shareholders. But we have also made great progress and it’s crucially important for us in being the best bank for our people and our communities, because I always say for us it’s as important to achieve the results as how we get there. And we want to do things in a way that it’s simple, personal and fair. Today this culture, these behaviors that we want to have in all our teams is embraced by most of our people. We have higher commitment across the countries and we are doing a lot of work on that going forward. We have ambitious plans which we are putting in place over the next few years. We also want to be the best bank for our communities. We are working on financial inclusion, on entrepreneurship, high education and I am very proud also that we got in last year’s Down Jones - Sustainability Index, we’re the first European bank and six in the world in terms of our sustainability policies. And as we know, we’ve commented many times, we are number one in the world in terms of contribution to higher education. This is important for our communities, it’s also important for our employees because it’s a great source of pride. So I will leave you now with Jose Antonio Alvarez, our CEO, so he can share with you some more details in our results before I do the closing on the outlook for 2017.
Jose Antonio Alvarez: Thank you, Ana. Good morning to everyone. Following the Ana comments, I will look to the performance of the Group of Santander and the main units. You have all the information in the packaging, so I am going to elaborate on the main units, make some summary of that as more of once. Starting with the area, Ana elaborated, we delivered a strong performance in the year that was in particularly helpful in terms of the market developments. But having said that, we - the performance of the Group was very positive and we have making progress in our commercial transformation and at the same time achieving our financial results. When you look at the activity, we keep different levels of activity in emerging markets, we’ve been ensuring, we have acquired spread growth all across along as growing 2% in constant euros and France growing 5%. Particularly important is we are, the growth we are showing in the France is concentrate in the most valuable items, demand deposit are growing to 10%, mutual funds are growing to 7%, while time deposits are following 9%. So this is reflection of our policy toward royalty, more royalty - developing more royalty among our customer base. Going to numbers, first starting with the fourth quarter 2016, the attributable profit in the quarter was 1.6 billion. As you know, this was impacted by the contribution of deposit guarantee scheme mainly in the Spain if you guys are in the Spain is €160 million. Excluding this impact, the quarter has been the best quarter in 2016. Underlying profit before taxes of 11.3 billion for the whole year is up 3% in current euros, 12% in constant euros with profitability growing in nine out of ten our core markets. We had a significant impact in the tax rate. Tax pressure was credited in some units mainly in the U.K. we’ve been commenting you already. Chile and also impart. For the Grupo Santander, the tax rate went up from 28% to more than 30%. We recorded at one-off starting items of the corporate center. I will detail those in the next few slides. For the call yeah, the statutory profit is €36.2 billion, up 4% compared to the probably around 15% without the FX impact. And now rating about one off items, last year we charged net figure of €600 million in the P&L that is detailed in the left side of the slide. And the right side, you have the impact, the one off impact in 2016. The total is a net negative of €417. In the fourth quarter, we have had €137 million for potential future clients related with the PPI in the U.K., €32 million following SC restatement in the fourth quarter. And finally for the comparison purposes with 2015, they can talk on the Single Resolution Fund contribution of €120 million charge in Q2 was reallocated from non-recurring items to gross income in Q4. Now let’s take more detail view in the results. We are particularly proud of the consistency of our results. This will very well show in the NII and the fee income. So the NII has been progressively improving. In the last two quarters, the turning proof we were around 2% in 3Q and 4% [ph] in the 4Q. Fee income growing at 8% is what probably is what probably represent in a fair way our policy towards working in more loyalty now customers in an increase of seven straight quarters backed up by greater customer loyalty as I said. In other income, you have a significant dropping in SC 24% due to lower results and the cost of the hedges that we keep in the corporate center. Q4 was impacted by as I said before the Deposit Guarantee Fund and the Resolution Fund. When it comes to cost, well we’re remaining relatively flattish environment, as you look at the last three years plus 1% from the 15% minus 1% for 2014 and this year 1.7% lower in real terms on a like-for-like basis. When we go to the countries, we are investing significantly Mexico to improve our operations and to improve our commercial capabilities. In the U.S. we’re still investing in addressing some of the witnesses that we’re identifying the previous years. So as I said this, see we are in a good position in cash flow income, thanks partially to our good management cost. When it comes to the quality of the balance sheet or I would say good financial year, provisions are going down 2%, these are clearly improving all across in NPLs, coverage ratio, cost of credit, that is going down seven basis points in the year and excluding the SC that these are a special union in this regard because of reaches 0.82%. Let me particularly to focus in Brazil were the cost of credit we commit ourselves to remain below 5%. We now would target and this we are particularly proud of this to this achievement in very difficult macro environment. In capital, we are making progress. We guide you to 40 basis points in this year or an average 10 basis points per quarter. We got 50 basis points in the year as likely ahead but our commitment, our expectation remains in relating 40 basis points a year. All our capital ratio is well above regulatory minimum and we are doing an exercise that is quite demanding that is to found business growth pay increasing cash dividend on accumulating capital organic. Going to the units, you have in profit before taxes 9 out of 10 units growing, some of this significant number of them well in double digits, so good results from across the world. So the U.S. got the only unit where the pretax profit decline. As Ana mentioned to the bank , we have plenty of work to do still in the bank while screw softer a significant improving operations on after having a higher in the underwriting we're doing in the market is performing pretty well. Most of those increases in profit before taxes, we understand to attribute our profit with some exceptions I already mentioned U.K. that went up and also in some other countries. Going through the main units, Brazil has had a very good fourth quarter, probably the volumes we were able to grow in the fourth quarter and not sustainable, we grew 5%, deposit fund 1%, 1% is probably low sustainable rate but the 5% is probably a sustainable, but was a big good quarter. This spreads went up. This is power infliction of the growth some spread widening in all across the board plus our gross income grew in the quarter in the year 7% because gross in the quarter as we reach a new agreement with unions, with a solid increase and one half payment in the fourth quarter that was done in October that represents €40 million. That the profit before taxes grew double digit, in the year 15% up in constant euros and in the quarter-on-quarter 2.6% up. So in short, I think our franchise has behaved exceptionally well in an environment that was quite demanding and in particularly proud that this is - that is showing what we told you that our franchise was much more predictable sustainable down it was before. In the U.K. we made significant progress in this targets, growth in loyalty of the customers, the growth in digital customers now we already got 4.4 million - 4.5 million digital customers plus 25%. We continue to enjoy our business flows in corporate and SMEs. And when it comes to results, our pivotal profit as I mentioned was impacted by the increase in the tax, in the corporate tax. If you look at profit before taxes rose 8% NII recovering in the quarter result of our new conditions of the one to three account very good performance in NII. Net fee increase in the year 7% during the quarter went down because the third quarter was exceptionally good and clearly quality remained pretty strong all across the board. In Spain as you know - sorry consumer finance, we are here in Europe consumer finance, we finish in the relation of PSA all the joint venture with PSA were integrated in a successful way. The loan portfolio increased by 14% year-or-year supported by new agreements. Attributable profit grew 18% year-on-year and the figure was €1.1 billion. While this business has been a consistent out performer all across at the last seven, eight years. Best in class profitability level on historical low level of risk, we have this 15% we are working with [indiscernible] north of 2%. The fourth quarter was a little bit weaker impacted by seasonal effects mainly in Germany. In Spain, well we continue with our strategy around one, two, three strategy that as you know our aim is to build dip long lasting relationship with our customers. This remains at the core of our strategy, cost of customer loyalty increasing by 32%, 50% of the new production comes from one, two, three customers the risk profile is improving we are overall happy with the developments we’re seeing in the market, in our operations. The results naturally fourth quarter was affected by deposit guarantee scheme contribution €155 million without that the Q4 the profit after tax was highest of the year. The resolution fund contribution was reallocation as I said before from non-recurring items to gross income this year. The profit grew 5% to €1 billion with positive impact from our strategy lower long lost provision. This is a trend that supported by improving in the credit quality. The cost went down 4%. Fee income rose 6% and these reflects probably the best. In retail it grew faster than that. This is what reflects probably the best our strategy. NII was affected by low interest rate. We are close to the end of mortgage repricing probably some one quarter to go still, but - and we got less revenue from the ALCO performance. Finally, the stock of loans decreased because lending to institution some mortgages. New lending increases by 18% but still not enough to substitute the amortizing mortgages. The other units, good performance across the board, Mexico the main there has been NII, high rates, strong volume growth, and the franchise is we are investing in the franchise as I said before, and we are owning the cost in the franchise but net-net at the bottom line we are growing profit to 18%. In Chile, we made a significant improving in the quality of the customer attention. We closely gap with our competitors in satisfaction indices jumping to the top one position, we come from the back and we are proud to say that we are the top. Good performance in volumes gaining market share and this is reflected in the 16% rising profit. Portugal very good description, Banif integration [indiscernible]. The results speak by the itself. We are getting almost €400 million net profit in a difficult environment while our competitors are struggling - to make remain profitable. In the U.S. we have two components here, securitize performance pretty well in line with our expectations. While in SBNA, we’re still had a significant work to do, but they remain optimistic of these one of the sources in which we got improved significantly in the coming years. In Argentina, we’re up in our franchise, we reach an reach an agreement to buy CT operations are going to be integrated after the first quarter and this addition will extend our system franchise that is the best in the country. In Poland, while we were affected by the tax, the banking tax, the profit - excluding that the profit was up 14%, we are progressing well the most profitable bank in the country, we’re showing good progress on a like-for-like basis. In short, positive evolution across the board in all remained franchises. In the corporate center, let me to make brief comments. As you know we - restructuring the corporate center as a result of these because went down 18%. You see the revenues as you know the revenues reflect mainly both in net interest income and capital gains. The effect of the hedges that we’re significantly more closely in 2016 and they go in 2015. We record here the non-recurring items is the last time we’re going to do. After the first quarter of 2017 I used to put the non-recurring items in the units starting core in those items some for the reasons I split those non-recurring items. On the bottom you have the main non-recurring items come from Spain. The remain negative, Spain on corporate center due to restructuring charges. The U.S. due to securitize restatement, U.K. is a net of the positive from this on the negative from the BBI chart as mentioned before and the positive in Poland and others comes mainly from as I said. Starting in the first quarter 2016, this will be reallocated to units. Now I’ll hand to Ana to make the final comments of this presentation.
Ana Botin: So thank you, Jose Antonio. I would now like to close by briefly sharing with you our 2016 priorities. And I'd like to start by reminding because this is very important for us what our purpose is. Our purpose is to help people and businesses prosper. What we aim for we want to be the best in retail and commercial bank that earns a lasting loyalty of its people, its customers, shareholders and communities. And we want to do things in a way that is every day more simple and personal and fair. And this guides everything we do. It determines how priorities and it determines how we manage our business. So what is our goal, you've seen this before, it's a simple, but ambitious goal. We want to be the best retail and commercial bank in every market where we do business. And this is a virtuous circle as you can see all our stakeholders benefit, because it begins with our people who take pride in their work. Who are key to our success and our transformation, their alignment with our culture and their pride of being part of Santander delivers the best outcomes for our customers who benefit from and grow their relationship and loyalty with us. And this in turn combined with reinforce management and a strengthened focus on operational excellence and prudent risk management produces better results for you and our shareholders growing earnings per share in a sustainable way. So we can then reinvest in our communities. I like to spend a few minutes on our people. I can tell you that the most, one of the most rewarding projects of both with Jose Antonio and I co-lead in the bank is the cultural transformation program. And as I've said before this is not marketing or PR, it is the essence of our transformation. Our new management teams embrace and believe that our values simple personal and fair are at the base of the successful transformation of our model and of course, it is very important that the executive and the senior team lead by example. It is this cultural transformation which allows us to attract the best talent and embedding the right behaviors is our number one management goal. Our plans and communities are also fundamental to us, it's part of the cultural, it is driving employee and customer engagement as well as being aligned to our business goals. I've mentioned before our universities program it’s a key element of our communities’ engagement Santander is the biggest giver to high education in the world. Our goal is to support 80,000 entrepreneurs in 2017 and 2018 and support 3.1 million people in our communities. In 2016 we also made good progress on our strategic goals with our customers to improve our value proposition by improving customer experience we've shared the numbers with you, and of course increasing our loyal and digital customers as a result. And we have seen that customer loyalty is good for the business it drives higher fees. It results in a more capital efficient model. And our targets are to reach 17 million loyal customers in 2017 and of course to achieve our fee income growth reaching a community of growth rate by 2018 of close to 10%. So to growth loyalty among our customers, best customer experience is a must and of course to do so efficiently, so we deliver also the shareholders and to achieve which will working on three different levels. One is very crucially important is the business as usual transformation. Good example of this and the many others is the Brazilian contests super where we have launched a very successful digital account and card for the unbanked, fostering financial inclusion. The second line of work is open bank, it's an entirely digital bank. That we will re-launch in the coming months. And finally and very importantly through our innovation division, which includes our interventions funds working with other partners, and looking at new sources of revenues and other ways to improve our business, I mean our core business in the future. 2017 targets are to reach 25 million digital customers together with keeping a stable cost thing at about 48% and maintain leadership hopefully improving our customer experience across countries. For our shareholders the priorities and what we told you in September of course to continue to accumulate capital 40 basis points CET-1 after growing dividends per share and growing our business. We also aim to maintain continue to maintain loan growth and profit growth above risk weighted assets growth, and I want to say that we have improved and one of the priorities is to continue to improve our capital management discipline across the group to achieve these targets. And finally as we said last September 2017 we aim to grow EPS, GPS intangible enough per share in 2017. So to conclude as both Jose Antonio and I have said, let me stress, we said this at the group strategic uptick in September 2016 has been an interesting year, plenty of unexpected, frankly mostly worse than expected external factors affecting banking sector in general. And in spite of this we have delivered on all our targets in some cases ahead of plan. I am proud of the resilience and hard to work of our teams that have made this possible. And as I said the best is yet to come. We are delivering on all our targets as you could see here on the screen for 2016. We are also on track to deliver for 2017 and 2018. 2017 targets are here, we are confident that we will again deliver in 2017, even though as I said in our comments in the press release, we do expect volatility and there will be headwinds and some cases foreign exchange in some countries but we are confident in spite that we’ll continue to reach our targets. Again these are the same as we shared with you in September 2015, 2016. And here again are our longer term targets on the way to 2018 for our people, customers, shareholders and communities. Again our business model and strategy and the fact that we are executing and I’d like to stress the sustainability and predictability of our earnings combined with profitable growth. This is the essence of the Santander model and the milestones, the strategic milestones in executing our strategy gives all of us confidence we will continue to deliver. So to sum-up, the key takeaways our vision is to be the best retail and commercial bank in Europe and the Americas and the countries where we have a presence. We have deliver in 2016 again in some cases ahead of plan on our strategic goals but also on our 2016 targets. We reiterate our commitments and goals for 2017 and 2018. We have been consistent and predictable and it encourages us to continue working in that same direction to keep delivering for all our stakeholders. What is more important we have delivered in the right way, helping more people and more businesses to prosper and building a bank that is everyday more simple and personal and fair. So thank you very much. And we’re now open for question.
Operator: [Operator Instructions]
Unidentified Analyst: Thank you very much for the presentation and congratulations again for your quarterly results. I have two questions one on Brexit and other on Latin America. On Brexit, as well we are just amount on how far away from actually the U.K government activity in Article 4 of the activity on European Union and the Prime Minister has already outlined her plant for hard Brexit. In light of these, how are you thinking strategically about your operations in the U.K. going forward, particularly across three layers; first layer about the - across the mix between secure and secure lending going forward; second layer would be about the mix between organic and inorganic growth in the U.K. and the third layer would be acrosspotentialplants for relocating is task based in the U.K. which may report functionally to Madrid to London? My second question would be on Latin America. In light of the potential changes in the trade and integration policies by the new U.S. government how are you thinking about on the impact this is going have on your operations in Latin America, would be particularly interested in a comparison between your activity or your expectation for Mexico and Brazil, and also I was wondering whether it actually in light of these meaningful change as you’ve revised your guidance for these two economies. If I remember well, I mean you’ve been talking about double-digit loan growth in Mexico until late last year I’m not sure with whether these are changed? Thank you very much.
Ana Botin: Yes, so let me start with Brexit. There was no plans to relocate our bank in the U.K. will be affected as much as the U.K. economy is if there’s less growth. Obviously we won’t do as well. However, until now the economy has performed quite well. We’re not revising our estimates, we did some revision in September because we were not expecting this to happen and of course there is some impact on exchange rates. We’re still anticipating growth in both the secured and commercial lending market in the U.K. next year. And we will continue to grow probably in line with the market. So we are at this moment keeping our estimate on our guidance for the U.K. in terms of secure and secured we’ve been gaining market share in companies, we expect to continue that maybe at a bit slower rate but still growth. In terms of inorganic we’ve said many times, we will consider add-on acquisitions in our core markets, we will be very disciplined as we’ve shown in 2016, return on investment being above the cost of equity after year three and EPS accretive and that will continue to be the case. In the case of Latin America, there is no question that there will be an impact and there’s already been impact on foreign exchange, exchange rate on the peso. Brazil and Argentina, but Mexican economies actually doing quite well, they’ve been structural reforms in energy and infrastructure, we’ve announced we’re investing in our own bank 15 billion pesos over the next two years to make it better, we’ll continue to invest. And I like to say that in the same case as Brazil, Mexico has a lot of room to grow our business for example on the liability side, on the loyalty strategy where we’ve grown at very good rates 20% loyal customers, close to 60% in digital customers. So we expect to continue to do well in Mexico in spite of a more challenging environment. The rest of Latin America frankly, Brazil and Argentina actually buy more from the U.S. than they sell on the numbers are actually not that significant. So we do not expect in as much as it affects world economy yes, but not directly they should be among the least affected economies from whatever policies we still don’t know come out of the U.S. in that regard. One of the more important opportunities for us is actually to do more across countries. I gave some numbers in Argentina, Brazil this year and that’s just the beginning. So yeah, there will be a more challenging environment in some economies as I said, the main impact to us is from the actual growth in those economies and in some cases from exchange rates as we’ve said.
Sergio Gamez: Thanks. Next question please.
Operator: The next question comes from Sofie Peterzens from J.P. Morgan. Please go ahead.
Sofie Peterzens: Yeah, hi. Here is Sofie Peterzens from J.P. Morgan. I had a question on Spain. Could you just give some guidance on now what do you expect from net interest income going forward than growth and also how you see cost of risk developing in Spain and also remind us of your ALCO sizedaverage yield or how much it contributed to NII? And my second question is going back to Mexico. Quarter-on-quarter, I saw your loan book was down and it was largely driven by corporate. Could you just discuss what happened in Mexico and what is more one-off or how should we think about it going forward? Thank you.
Ana Botin: In terms of Spain, net interest income we expect broadly stable for next year, but probably maybe still some slight decrease in Q1, as the re-pricing of the asset side hence and actually if rates stay where they are they should start to be some improvement in the second half of the year. Cost of risk, there is some room for improvement, but probably not much with very low levels historically already, so I think that is something we could improve a bit more, but not much more, and we expect to continue to improve on loyal customers. We are at two million loyal customers which would drive good growth in fee income. We’re gaining market share in many segments in Spain in a profitable way, so that should be more the driver next year. But I’d say broadly stable net interest income for the whole of the year would still some maybe some slight decrease in Q1. Maybe on the ALCO you want to say something about the ALCO, I think there’s not much left there.
Jose Antonio Alvarez: As I said in the presentation, the reduction in NII eventually due to the lower ALCO revenues, yeah, so in the size of ALCO you know always having change would stands in relation with the - we thought we review in relation with the interest rate risk.
Ana Botin: So Mexico, in terms of the - is a quarter-on-quarter I don’t think anything significant there.
Jose Antonio Alvarez: No, is basically come from global corporate bank, and is not that nothing that affects the retail and commercial business is mainly due to several operations in global corporate bank.
Sergio Gamez: Thanks Sofie for your question. Next one please.
Operator: The next question comes from Ignacio Ulargui from Deutsche Bank. Please go ahead.
Ignacio Ulargui: Hi good morning everyone. Just have one question on the U.S. and then would you say that the recent exemption of the qualitative CCAR could give you some additional potential in terms of cost cutting or reducing the cost expansion now you have seen in the U.S. business and also link to that on the provision inline, how do you see the cost of risk going forward for the U.S. operations?
Ana Botin: Yeah. Qualitative exemption which we believe will happen for all smaller banks and that’s us in the U.S will help us. I still believe we can do better even if that doesn’t happen you’ve seen that our cost income ratio, it’s not where we want to be, but has come down 10 points in the bank. So we are expecting to do better on cost in the U.S. As you’ve seen in my slide from here we should start growing profits in a significant way especially at Santander Bank and they as the team has really been working for one year they’ve done a great job. But yes, that should give us some additional upside we’re not really counting on that for the moment. On provisions we’ve had a few one-offs and energy that should go better in the bank, but may Antonio you want to comment on that?
Jose Antonio Alvarez: The bank items see any particularly belong on loan provisions probably when it comes to SCUSA, as I said in the presentation, I would underwriting has been marked that was higher FICO it was in 2016, so is reasonable all equal to expect that the costs are slightly is going to stay or go a lower than the one we’ve had in the previous quarters. I’m sure these are the yield naturally the higher FICO this affect to the yield.
Sergio Gamez: Thanks Ignacio. Next question please.
Operator: The next question comes from Rohith Chandra from Barclays. Please go ahead.
Rohith Chandra: Hi, good morning. I’ve got three questions please if I could. I mean it’s obviously a solid set of numbers and solid returns already being generated. But as you’ve acknowledged in the early parts of the presentation that could be better if you’re able to improve the profitability of the U.S. business and you’ve got some quite ambitious targets that’s to grow earnings 30% in the bank and 15% in consumer finance. Just wondering if you can break down a little bit more how are you expect to deliver that profitability improvement recombination if I guess rate rises improved a customer activity and also a cost ratio touched on slightly so that was the first one. The second one was on fees, up 8% year-on-year is a strong performance, but looking at the chart that you’ve showed that growth like slowed significantly since over the past three quarters, just wondering what about the momentum that you see most changing going into 2017? And then my final question was coming back to the U.K. business and really the outlook for credit quality, so you sort of net right back in this quarter. I guess what we’ve seen actually is some improvement in consensus expectations for the economy of the U.K. over the next two years. And so we keen to understand what your expectations are for macro drivers like GDP, unemployment and property prices, and how you see the cost of risk evolving over the next couple of years? Thank you.
Ana Botin: Yes, let me start with the U.S. First, it’s important to keep things in context, because U.S. is 5% of our net profit and Santander Bank which is where we really need to improve the profitability is about 6% of our investment. SCUSA has 18% return on tangible equity 15 ROE, because we have de-risk the business and so and that there we’re expecting still double-digit growth and to be above our cost of equity. In the bank, we are aiming to simplify the bank, make it profitable; it’s the same loyalty strategy. We have a simply right checking account which is doing really well. So it would be on the on the revenue side on the cost side and of course higher rates in the U.S. will help us as it will help other banks. So we’re pretty confident, but let’s remember the U.S. is only 5% as a whole of our total P&L and the most significant contribution is from SCUSA were we still expect 15% ROE. U.S. should help us as we think of creating long term customer value for our shareholders this will come down the road for five years down the road. On the fees, my understanding is it’s mostly GCB, we still expect strong underlying growth in our fees reaching that 10% communicative growth rate over the period by 2018, very much focused on retail and commercial banking, transactional banking, trade finance and so on. And I understand that I know the last quarter is a GCB sort of a few bigger deals so you should not read too much into that. U.K., U.K. we were quite pessimistic at the beginning, we are less pessimistic now, as I said I believe in my presentation, the fact that we’ve had a good second half means that the first half should be good. Now obviously, a devaluation has a positive short term impact, but overtime that should lead to high inflation which could impact consumers, so we have been quite cautious still on GDP growth for next year especially the second half and we are following I believe in our numbers we’re around 1.6 something like this 1.7, 1.2 well something tells me 1.2 GDP growth is what is in our estimates for GDP growth and in the U.K. I think that’s it.
Sergio Gamez: Thanks, Rohith. Next one please.
Operator: The next question comes from Stefan Nedialkov from Citi Group. Please go ahead.
Stefan Nedialkov: Hi, guys, good morning. Stefan from Citi. Two questions, the first one on Mexico, I consider corporate lending growth the decline in loan growth in 4Q. Will you just give us color in terms of how the larger Mexican domestic corporate are approaching lending and specifically it was the large nominated lending versus peso lending. And the second question on the U.S. which would be open to M&A of over timeframe and I guess how much time which you give yourselves to fix to U.S business before considering M&A? Thank you.
Ana Botin: On corporate lending in Mexico understand the question is what will drive it going forward? What’s our expectation? Well, I mean there’s a lot of - still a lot of positives in Mexico. There are some negatives uncertainty of course is my to delay some business investment, but Mexico has made some very fundamental reforms in energy as you know infrastructure. We’re seeing a lot of interest from many companies just been a very interesting auction on the communications side which was very highly subscribe by many investors. So we still expect investment in certain key areas to continue. Mexico is a market of 120 million people where they have a highly skilled labor force and very strong positive, so the higher end of the market should continue to grow there could be some delays in investment until we have clarity, but I wouldn’t say anything special at this time. And again for us, specifically we have a lot of room to improve against ourselves on the other side of the balance sheet on transactional customer’s digital customers and that’s why we’ve announced this 15 billion peso investment in our own business. For the U.S. again we’re not considering M&A, in all our markets we’ve said small add-on acquisitions. We’re making progress. We’re meeting all our strategic milestones and in fact continues we can give you a very good sense that from here. It should be going up the U.S. the biggest part of our business is doing well. We have de-risk. We have taking less risk as Jose Antonio just said also 15% ROE, growth in profits of 15% for the next few years and significant growth in profit in the bank in a very attractive banking market where we believe we can add value. There is a lot of strategies once we are in the regulatory side is totally where we wanted to be to grow for example with digital strategy. So there is no M&A and we expect to continue to give you good news from here on the operating side.
Sergio Gamez: Thanks, Stefan. Next question please.
Operator: The next question comes from Carlo Digrandi from HSBC. Please go ahead
Carlo Digrandi: Yes, hello, this is Carlo Digrandi. Just two questions if I may, on provisions they proved to be as Jose Antonio said that the trend is very favorable coverage is improving. So overall I was wondering if you can give us an indication if this trend will continue we have seen right back in the U.K. probably these are not sustainable or eventually they are. So can you give us an indication if you expect for 2017 more or less overall provisions to a long side the same trend with the similar impact on college, et cetera? And apologies again I have one more question on the U.S. since has not been asked. Do you have additional visibility on CCAR when eventually you would expect deposit? Thank you.
Ana Botin: I’ll let Jose Antonio answer the question on provisions, but I'd say we're on target towards our cost of risk average, I think it was over the three years of 1.2 and below we're at 1.18 cost of risk across the group. But definitely we are expecting U.K. for example which is a two basis points cost of risk to have some higher charges next year. I mean again within our estimates keeping our commitments, but we're at historically low and that is one of our biggest markets in terms of lending. So in terms of the U.S. so as you know we've passed our quantitative CCAR, we actually have a lot of excess capital in the U.S. I think one of the signals that we hope to give you soon is that we'll be allowed to pay dividends again. I want to stress that if we normalize our capital in the U.S. we have an ROE in the whole country including the bank of 4%, so it's not great, but regional banks around 6%, so we're really in a place again we need to fix and do better in the bank and we're making progress. So CCAR what we know it's not in writing, but we've been told and we expect this to happen is that we will not be subject to the qualitative CCAR, because remember that us and other small regional banks were being asked to be at the standards of J.P. Morgan and the very big money center banks. Now Santander we have our own standards and that's going to be applied anyway and we’ve made huge progress towards managing in the Santander Group way all our businesses including the consumer finance. So I'd say that’s very likely that the qualitative CCAR we expect to pass this year. If we have to but, as I said we probably won't have to. I don't know on provisions you want to give a bit more visibility?
Jose Antonio Alvarez: Well in general we see a - sorry in general we see a relatively nine credited scenario in which as Ana mentioned in absolute numbers we’re going to have higher provisions for sure in the U.K. because the present level of the thing is not sustainable anymore. But probably we have on the opposite side is reasonable to expect that the cost of rate in Brazil will start to turn down probably is the one that is more important for us. I already mentioned as SCUSA where is not due to the greater scenario is more due to our underwriting policy that we expect credit cost to go down also. In the other unit side I don't have any special to mention probably in Spain that we are very relatively low levels should we still expect some kind of mortgage shooting in 2017.
Sergio Gamez: Thanks Carlos. Next one please.
Operator: The next question comes from Ignacio Cerezo from UBS. Please go ahead.
Ignacio Cerezo: Good morning. Couple of questions from my side. On Brazil if I remember correctly, I think in Q3 you have one-off impact actually have explained a sequential increase, so the number actually local currency is core that has been similar to the one in Q3 so there is no been a recovery actually from that number, if you can explain if there is anything specific this quarter? And in the U.K. in terms of the top line if you can quantify the €40 million increase, sequential increase of top line in bounce in the quarter if you can give us some color basically in terms of the impact of they want to the accounts cost decline? Thank you.
Ana Botin: So I'll answer the U.K. but I think on Brazil, frankly I think Jose Antonio on your maybe Sergio you're going to want to answer?
Jose Antonio Alvarez: No.
Sergio Gamez: No.
Jose Antonio Alvarez: Nothing that comes to my mind that. Jose Garcia do you remember anyone else.
Jose Garcia Cantera: We had high drilling entries from financial operations. But there was nothing I mean that’s why maybe both the line you see that it doesn't grow that much in local currencies. So we have €152 million in Q3, now we have a slightly negative that’s the difference nothing more on that.
Ana Botin: So on the U.K. yeah, the net interest margin has done better in the year then we had guided or we had expected. And yes in Q4 you do have already an impact of the re-pricing on the one, to three account which is you know where we have a lot of upside, this is exactly the strategy for four years we've been growing very the very high pace, we've grown €11 billion in current account balances just in this year that should slow down and that's as expected that’s a huge amount of room to grow with the four million loyal customers and 1 to 3 customers in the U.K. And this again should be driving fee income growth as we have now a new online investment platform. We have many new services and better services and that should continue to drive revenues including our net interest margin for the next year. Of course on the asset side the low rates would continue to impact on the SVR. So I think we're guiding towards stability maybe slightly down stability flattish margin for next year in the U.K. but a very good fourth quarter again on plan.
Sergio Gamez: Thanks Ignacio. Next question please.
Operator: The next question comes from Alvaro Serrano from Morgan Stanley. Please go ahead.
Alvaro Serrano: Hi good morning. Just one question on cost and then follow-up on Brazil. On cost both in Spain and the U.K, I think the performance has been pretty good cost down quarter-on-quarter in Spain. For 2017 should we take this fourth quarter cost basis as the recurring cost based should we expect more cost cutting what could we can give us some color on where you stand on costs there in both regions? And then on Brazil you've given some color, but just - can you talk - give us a bit more explanation on spreads in the quarter that you mentioned the improved would you - is that expect to be ongoing and if you look at the levers of the P&L of 2017 would you say that each is still more margins than the volumes for 2017 and also and in the provisions for Brazil. Do you expect them to come down in absolute terms you mentioned the cost of risk would be down, but I'm not sure there's room to provisions to come down in absolute terms? Thank you.
Ana Botin: On costs, I’ll give you the general picture, I mean our target as this year is to keep a flattish cost income around 48%. We're not planning on any - let's say large cost cutting exercises we will continue to manage cost. So we can then invest in the future, so balancing short and medium term growth is crucially important, in countries like Mexico I said we're going to invest a lot 15 billion pesos is a big investment. In other countries in Europe we're going to continue to try to manage more efficiently so we can dedicate more investment for the future and very importantly we're going to do more and more of investing jointly. So an e-wallet for all of Santander countries together you know working on certain projects across countries this is a huge opportunity for us, which allows us to keep this stable cost income, but also invest for the future. I'd say the country Brazil we’re also investing Argentina we're investing, so in some of the higher growth countries we're doing quite a lot of that. In terms of visibility for Brazil, I think we're anticipating the cost of risk to peak around 5% so there might be some slight deterioration on that for next year, but nothing major coming down. Maybe we won’t comment on that and volumes, I think volumes are starting a more going to be more volumes and margins next year.
Jose Antonio Alvarez: In Spain either reflecting you know probably in nominal terms we’ll go down in U.K. more kind of flattish cost, like while in Brazil we expect to grow probably in-line with inflation a little bit higher due to the fact that we have two business that are booming, that are growing lot that are quite in business and the payroll base lending that the companies have called that we’re going to have cost are going to winning the enough growing double digit just because those business are growing a lot. So this is going you should expect. In relation with spreads in Brazil what you show in the quarter you probably focused too much on the asset side. So we've done a very good year on the liability side in Brazil in the spreads. So we probably in the fourth quarter is a combination of high respects on the liability side that will show a mix if you look at the quarter overall significantly more in consumer lending and doing more in the corporate and large corporate on this has an effect on them is, but to look out to the liability side, yeah.
Sergio Gamez: Okay, thanks Alvaro. Next question please.
Operator: The next question comes from Andrea Unzueta from Credit Suisse. Please go ahead.
Andrea Unzueta: Hi, good morning. My question is on Spain and on margin specifically. Are you know accounting for the negative cost TLTRO in Spain, and if so what is the impact, can if you could comment a bit on your expectations for Spain both in terms of volumes and spreads. And I'm going to go back to the questions on Brazilian cost of risk, I think in Q3 you did mentioned that you had one-off case impacting provisions in Q3 in Brazil and the levels in Q4 are similar. So going back just to Alvaro’s question do you see room for the absolute level of provisions going down in the next year? Thank you.
Ana Botin: Yes, in terms of volumes in Spain, we believe that for the first time net lending should be slightly positive next year, so that is good news. We’re actually gaining market share based on the loyalty 1 to 3 strategy and to our 1 to 3 customers we're gaining share in consumer lending for example 200 basis points and that's doing pretty well. And we expect for the first time next year that volume growth so the front book will grow more than the amortization in the back book in mortgages, so that also should provide some positive volumes in Spain. The cost TLTRO - it's accounted in Spain as part of the country, so that is included. In Brazil, yes, there was - I think a one-off sort explains to that Q3 uptick.
Jose Antonio Alvarez: We said before that was not a start not in the sense that was one-off provision for a large customer in that sense I said is not certainly, okay.
Ana Botin: But it’s exceptional.
Jose Antonio Alvarez: But it’s a specific provisional exceptional in the third quarter, yeah.
Jose Garcia Cantera: And the levels of NPL coverage gone up Q-on-Q by 4% or points up to 93% as you know.
Sergio Gamez: Thanks Andrea. Next question please.
Operator: The next question comes from the Adrian Cighi from RBC. Please go ahead.
Adrian Cighi: Hello this is Adrian Cighi from RBC. Thank you for taking my questions. I have two clarification questions, one on Brazil and one on Mexico. On Brazil just going to follow-up on the launch for this quarter you said that obviously you just turn an improvement. What’s the outlook inline of the reduction and the benchmark rates in Brazil at the beginning of January? And on Mexico you just mentioned again the 15 billion peso investment over the next three years, how much of this is incremental over sort of the current run rate of 26 billion peso on 2016? Thank you.
Ana Botin: I actually couldn’t hear the first question, I didn't - could you just repeat the first question maybe I think we haven't really…
Sergio Gamez: Would you repeat the first question Adrian?
Adrian Cighi: On the Brazil sort of increase in loans for this quarter, how do you see the outlook of this developing inline of the reduction in benchmark rates in Brazil at the beginning of January?
Jose Antonio Alvarez: In Brazil, as I said the impact of the decrease in spreads the balance sheet is long, so that means the lower rates normally to our NII tend to increase, so in that regard the position is good. We don't see in the short run maybe in the long term, we have more impact in the corporate and global corporate bank in business. But in the short run probably these leads to an increasing the spreads on the kind of consumer lending and a decrease on the liability side. As I mentioned before this year was a very good year on the liability side.
Ana Botin: Mexico, Mexico is a quite a significant investment for us. Mexico has a very strong cost income this year close that below 40%. We anticipating growth, as I said good profit growth over the few years, so we are able to invest and continue the trends, the positive trends that we've had even in the context although it be harder, but we believe also in the context of a more challenging economy possibly with some as I said this morning modernization of the NAFTA agreement, which will have some impact. But overall the positives outweigh the negatives and again we believe the country has huge potential and that's why we're investing in a very significant way, in Brazil also by the way and Argentina.
Sergio Gamez: Thanks Adrian. Next question please.
Operator: The next question comes from our Oda Schmidt from Autonomous Research. Please go ahead.
Britta Schmidt: Yea, hi it’s Britta Schmidt from Autonomous Research. I could ask a clarification question on Spain, could you give us any sort of guidance that still how much share to two benefit was included in NII, and can you also comment perhaps only lending your increase from the bottom in Q3 is that a mix of change or do you see anything improving in terms of competition. And then I've got another question on Poland there were some comments on the [indiscernible] or talking about maintaining profits flat in 2017, can you give us an outlook statement there from your point of view, and do you have any indication what impact the discussions surrounding this Swiss bank loans have on be that?
Ana Botin: I think the question on Spain was if the TLTRO is accounted it’s in the numbers of Santander Spain as a country, I think we answered that previously. On Mexico - Mexico and Poland - so the team here is telling me that TLTRO will be in Santander Spain as of January 1, 2017 and it would be on an accrual basis as of Q1 of next year. Sorry for that clarification. And Poland, there is apparently a flattish guidance.
Jose Antonio Alvarez: I know which you are referring to because in Poland excluding the potential impact of the Swiss franc, but this not still clear. So it's still under discussion. Excluding that as I said, we expect that the profit growing in Poland probably the conversation or the answer to the question probably we’re referring including some impact from the Swiss franc. Excluding that we expect to grow profits in Poland.
Sergio Gamez: Thanks Britta. Next question.
Operator: The next question comes from Daragh Quinn from KBW. Please go ahead.
Daragh Quinn: Hi, it’s Daragh from KBW. Just a couple of questions, one on loan growth, I just want to follow-up on Spain and the outlook for positive loan growth in 2017, it looks like in Q4 the pace of decline has actually accelerated, I’m certainly looking at the sector does the decline in new business volumes also looks to be picking up. So if you could just provide a little bit more color about your items for growth in 2017 and do you see which segment do you see that growth coming from? And then sticking with loan growth, just to comment on Brazil, and I think you touched on the growth in Q4, but do you think you'll be able to generate positive loan growth in Brazil in 2017. And then finally just on your 2018 EPS targets, sorry the growth rates in EPS does that include the coupons from 81 both in issue and that you plan to issue over the next two years? Thanks.
Ana Botin: Yes, EPS target does include the coupons from 81 and we’re reiterating our guidance to double digit growth by 2018. On Spain loan growth so we had a lot of - let's say payback on the public administration side which we expect to do not have an effect going forward as it - that came down in the quarter by 9.5%. But we’ve already have positive trends in consumer lending by 2% and corporate side by about 1% the medium sized company, so the net is minus 1% compared to almost minus 4% for the year. So we do expect that to change sign in 2017, possibly of course mortgages could is now at minus 1% mortgage compared to minus 4% for the year that's a significant part of our balance sheet €46 billion in Spain. So we do expect this trend to continue the economy is doing well, exports are now 33% of the economy that's much higher than a few years ago. So we are expecting that trend to change. In Brazil, I understand we are expecting positive loan growth for the year, for next year and a quarter-on-quarter trends are good awesome.
Jose Antonio Alvarez: Before this quarter-on-quarter we grew 5% that is - is this is not sustainable probably in 2017 we're going in a range between mid-to-high single digit growth loan growth in Brazil, yeah, this is our current expectation based on our view above the macro economy, will flat in Spain, yeah in Spain this year, yeah we may grow 1% to 2% this year, we have institutional lending going down as Ana said, and at the same day we launch fairly significantly that is good, but those were the two main components of the decline in the loan book also in the mortgages we are still declining, but the they are, while in corporation as we mean consumer lending we’re allowing. So going forward we are little bit more constructive on the trends on the loan bookings spend.
Sergio Gamez: Thanks Daragh. Next question please.
Operator: The next question comes from Marta Sánchez Romero from Bank of America. Please go ahead.
Marta Sánchez Romero: Hello, I got a follow-up on the TLTRO EBIT, give us the volume and you’ve taken in Spain. And then on top of that I have three questions, one is provisions in Spain, second about the NII in U.K. and the third one about capital. On provisions in Spain you took risk less than 40 basis points seems quite low relative to your peers particularly when half of your [Technical Difficulty] seems little bit lower maybe could give us some through the cycle in Spain particularly of IFRS-9. The second question on NII in the U.K I don’t know you’ve been opportunistically this quarter increased your portfolio given the move in great expectations and skills. And if you’re still guiding for flat NII in 2017 is that one capital evaluation adjustments have gone down in corporate is slight positive moves in the currency and what is driving that and if you could give us an update on how much of unrealized gains in your Spanish, Brazilian and U.K. portfolio? Thank you.
Ana Botin: Yeah, net interest income in the U.K. again our guidance I understand is flattish net interest income for next year even though better than expected and lot obviously depends what happens to the interest rate as another European countries, we have a positive impact if interest rates go up, if you look at the whole of Santander in Europe and the U.S. reception of Brazil obviously as Jose Antonio mentioned that is about €1 billion of additional income for all our countries in Europe and in the U.S. for 100 hundred basis points parallel move in the yield curve. So that depending when rates move that's not in our numbers that could be a positive. On provisions in Spain, yes I mean we are doing better than others that is a fact, real estate exposure is reducing quite fast, let’s say that restructured side and we expect we have another two years on that before it becomes immaterial basically the cost that you see there and let's say in there restructured on bad bank is now basically the cost of running that business of that run down in the portfolio and the net amount there is about €5 billion. So again as Spanish economy has done really well for the last couple of years, one and a half million new jobs more exports and so that is being reflected in the cost of risk and we're doing better than our peers. I didn't really - the capital question…
Jose Garcia: Well is a AFS impact.
Ana Botin: AFS impact was…
Jose Garcia: We have a capital, a mark-to-market that this positive naturally these changes on a daily basis, but between €501 billion. Yes as we moving for the last two or three months, yeah is more in this industry. But the impact is the marginal impact naturally the impact in capital is the marginal movement from where you would before. And this is where we show the volatility in the fourth quarter and you should expect depending on the level of the rates some volatility come from this part the business in terms of capital.
Sergio Gamez: We have time for two more questions. Next one please.
Operator: The next question comes from Mario Lodos from Banc Sabadell. Please go ahead.
Mario Lodos:
.:
Jose Antonio Alvarez: I said that was marginally material in our raw material spend to trend as made by the Bank of Spain and is still too early to come with a number for IFRS-9, yeah.
Sergio Gamez: The next question please.
Operator: Then next question comes from Benjie Creelan-Sandford [ph] from Jeffries. Please go ahead.
Unidentified Analyst: Yeah, hi it’s Benjie Creelan from Jeffries. I'm just two very quick follow-up from my side. First of all just on the Spanish real estate division, I mean total assets that were down 30% quarter-on-quarter, so very big drop just want if there was any particular driver behind that. And then also just on the Spanish outlook portfolio if you could possibly provide the absolute size of the outlook portfolio, the average duration on the current average deals would be really helpful? Thanks.
Ana Botin: That reduction is due to - just via your business as usual reduction, which of course the objective is that to be run down to nothing, but there was also a few transactions which were done with Metrovacesa where we are now managing that through that company and this was evaluation done, not just as a few other banks decided that this is the best way to manage this and maximize value for our shareholders. So there's a few bigger transactions, but there's also this regular settle down off of our real estate restructured portfolio.